Operator: Good morning, everyone, and welcome to today's conference call titled the AES Corporation Second Quarter Financial Review Call. My name is Ellen, and I will be coordinating the call for today. At the end of today’s presentation there will be an opportunity to ask question. [Operator Instructions] It's now my pleasure to turn the call over to Susan Harcourt, Vice President of Investor Relations. Susan, please go ahead whenever you are ready.
Susan Harcourt: Thank you, operator. Good morning, and welcome to our second quarter 2023 financial review call. Our press release, presentation and related financial information are available on our website at aes.com. Today, we will be making forward-looking statements. There are many factors that may cause future results to differ materially from these statements, which are discussed in our most recent 10-K and 10-Q filed with the SEC. Reconciliations between GAAP and non-GAAP financial measures can be found on our website along with the presentation. Joining me this morning are Andres Gluski, our President and Chief Executive Officer; Steve Coughlin, our Chief Financial Officer; and other senior members of our management team.  With that, I will turn the call over to Andres.
Andres Gluski: Good morning, everyone, and thank you for joining our second quarter 2023 financial review call. Today, I will discuss our second quarter results as well as the excellent progress we're making towards our financial and strategic objectives. Steve Coughlin, our CFO, will give some more detail on our financial performance and outlook. For the second quarter, adjusted EBITDA with tax attributes was $607 million, and adjusted earnings per share was $0.21. Results for the quarter as well as for the first half of the year are very much in line with our expectations. Thus, we're reaffirming our 2023 guidance for all metrics and our targeted annualized growth rate through 2027. As we noted earlier this year, approximately 75% of our 2023 earnings will come in the second half of the year. Now for an update on our strategic priorities. At the core of our strategy is a focus on, first, new renewables with the target to triple our installed capacity by 2027. Second, growth at our U.S. utilities, where we expect to increase the rate base by more than 10% per year through 2027. And third, the transformation of our portfolio as we exit coal by the end of 2025 and invest in the new technologies that will define our industry for years to come. Today, I will provide an update on how we are executing across each of these focus areas, beginning with our renewables on Slide 4. We continue to see significant inbound interest from key customers wanting to do large U.S.-based renewable projects with us. We believe this reflects both our reputation for consistently delivering on time as well as our best-in-class ability to tailor projects to the specific needs of our customers. Year-to-date, we have now signed 2.2 gigawatts of new PPAs, including 2.1 gigawatts since our Investor Day in May. These numbers do not include 1 gigawatt from Belfield second phase or 1.4 gigawatts from our Green Hydrogen Project with Air Products in Texas, both of which could be signed before the year's end. I feel good about the likelihood that we will sign 5 to 6 gigawatts of new PPAs this year. We continue to be globally the number one seller of renewable energy to corporate customers. We also had a leading position in the U.S., providing renewable energy to data centers, which are seeing explosive growth in part as a result of the generative AI revolution. Turning to Slide 5. Another area of recent success is how we have been working with technology customers to complete projects initiated by other developers. Our corporate customers want us to take on these projects because they know we will deliver them on time and can also restructure the original PPAs to provide customized solutions. Two great recent examples of this are the 185-megawatt Delta Wind project in Mississippi which has a signed PPA with Amazon and the 2 gigawatt Belfield project in California, 1 gigawatt, of which has a signed PPA with a large technology company that is a repeat customers. Both of these projects demonstrate the strength of the relationships we have with our customers. For us, completing other developers' projects is especially attractive because we can get similar returns to greenfield projects while preserving our current pipeline for future projects. Our 61 gigawatt pipeline represents investments in land, interconnection and development which must be replaced once utilized, given growing constraints on new transmission in markets like California and PJM, having the flexibility to decide when to utilize these resources helps us maximize total returns from our renewables business. Moving on to Slide 6. We now have a backlog of projects with signed long-term contracts of 13.2 gigawatts, which is the largest in AES' history. I would like to reiterate once more that our definition of backlog includes only signed contracts for which we have an obligation to deliver and our customers have an obligation to take a given amount of renewable energy for a given amount of time. The average tenure of the contracts in our backlog is 19 years, and currently, 41% of our 13.2 backlog is already under construction, and 74% is slated to come online within the next 3 years. Turning to Slide 7. Since our Investor Day in May, we have completed a number of landmark projects. In June, we announced the commercial operation of the 238-megawatt Phase 1 of the Chevelon Butte Wind project in Arizona. It is one of the first projects in the country to be placed in service to qualify for the 10% additional energy community tax credit bonus under the Inflation Reduction Act. And once Phase 2 is completed, it will reach 454 megawatts and be the largest wind project in the state. In addition, we completed the Andes 2B solar-plus storage project in Chile for our copper mining customers. It's 180 megawatts of solar plus 560-megawatt hours of storage will make it the largest battery storage installation in all of Latin America. We were also able to use 5b prefabricated solar panels for a portion of the project, which advances the learning and lowers the cost of future developments. Turning to Slide 8. We are on track to complete the 3.4 gigawatts of new renewable projects we committed to earlier this year, including nearly 800 megawatts we've already brought online. In the U.S., we expect to commission roughly 2.1 watts which is roughly double the capacity we installed last year. I am very proud of the work our teams have done to ensure that we have had no supply chain or construction delays. All of the necessary equipment has been contracted for our 2023 through 2025 backlog. There remains the potential for completion of up to an additional 600 megawatts this year in the U.S. given the strong performance of our construction program. We see our record of completing projects on time as a key competitive advantage that is highly valued by our customers. We are one of the only major developers that did not abandon or meaningfully delay construction projects over the last 2 years due to supply chain issues. Furthermore, due to our emphasis on long-term planning and strong contractual agreements, we have maintained our project margins despite inflationary pressures and rising interest rates. Now moving to our second priority of utility growth on Slide 9. We remain on track to grow our U.S. pretax contribution at an annualized rate of 17% to 20% through 2027. At AES, Ohio, we expect to receive commission approval for our new electric security plan or ESP 4 by the end of August, at which point our new distribution rates would go into immediate effect. As a reminder, ESP 4 includes approval of timely recovery of $500 million in grid modernization over the next 3 years, carrying a 10% return on equity. This will allow us to accelerate investments to continue to improve the quality of service while maintaining the most competitive rates in Ohio. At AES, Indiana, we filed for a new rate case in June, the first rate case since 2018. The proposed new rates are designed to recover inflationary impacts since the last case as well as investments in reliability, resiliency improvements and system upgrades. We expect commission approval by the middle of next year. Even after this proposed increase, we still expect our residential rates to be among the lowest in the state. At AES Indiana, we continue to advance our low carbon generation growth plan. We recently filed for approval to build a 200-megawatt or 800-megawatt hour storage facility at the site of the retiring Petersburg coal plant. This project is expected to come online by the end of next year, at which point it will be the largest battery storage project in the Midwest. Now turning to Slide 10 and our third priority of transforming our portfolio by exiting coal generation by the end of 2025. Since our Investor Day in May, we have significantly advanced our decarbonization objective by assuring the retirement of an additional 900 megawatts of coal generation. In June, we retired 415 megawatts of coal as we shut down Unit 2 of the Petersburg plant at AES Indiana. We also announced the retirement of the 276-megawatt Norgener Air Plant in Chile by 2025. Additionally, we received final approval, allowing for the termination of the PPA at our 205-megawatt Warrior Run Plant in Maryland for proceeds of $357 million. Now turning to Slide 11. We have expanded our leadership in the development and application of new technologies in our sector. We see this as another important competitive advantage. A new example is the use of embedded artificial intelligence, including generative AI across our operations. This year, we already expect more than $200 million of our adjusted EBITDA to be enabled by AI through both cost reductions and revenue enhance. We have incorporated AI and data analytics across our operations from areas such as wind production forecasting to vegetation management to identification of isolated solar panel failures. As part of this program, we also continue to pioneer and advance the use of robotics to install and maintain solar panels. Through our solar robotics program, we are developing proprietary AI-based computer vision to install a wide variety of solar modules, including the largest and heaviest models. With this technology, we plan to install projects significantly faster and across a wide range of working conditions, including extreme heat. In the coming months, we will be validating this technology for the installation of tens of megawatts and expect to move to use it for full scale solar projects in 2024. Finally, we're consolidating our lead in advanced green hydrogen projects with committed offtakers. We are currently developing the largest announced green hydrogen project in the U.S. jointly with Air Products in Texas. It features 1.4 gigawatts of inside defense, hourly matched renewables, 200 metric tons of hydrogen per day and a 30-year take-or-pay contract. It is expected to come online in 2027. Our pipeline of advanced green hydrogen projects is equivalent to more than 6 gigawatts of renewables and 800 metric tons of hydrogen per day. With that, I would like to turn the call over to our CFO, Steve Coughlin.
Steve Coughlin: Thank you, Andres, and good morning, everyone. Today, I will discuss our second quarter results, 2023 parent capital allocation and 2023 guidance. Turning to our financial results for the quarter, beginning on Slide 13. I'm pleased to share that the second quarter was fully in line with our expectations, keeping us well on track to achieve our full year guidance.  Adjusted EBITDA with tax attributes was $607 million versus $722 million last year, driven primarily by lower margins at AES Andes and higher costs at our renewables SBU due to an accelerated growth plan, but partially offset by new renewables coming online and higher availability at select thermal businesses. Tax attributes earned by our U.S. renewables projects were relatively flat at $38 million in the second quarter of this year, in line with our expectations. Turning to Slide 14. Adjusted EPS was $0.21 versus $0.34 last year. In addition to the drivers of adjusted EBITDA, we saw higher parent interest expense this quarter. As a reminder, our year-to-date EPS is fully in line with the breakdown that we outlined earlier this year, in which we noted that roughly 25% of our earnings would come in the first half of the year and 75% in the second half. I'll cover the performance of our strategic business units or SBUs in more detail over the next 4 slides, beginning on Slide 15. In the renewables SBU, we continue to execute on our strategic priority to triple our portfolio by 2027. For the second quarter, as expected, we saw higher adjusted EBITDA with tax attributes driven primarily by higher wind generation and new projects coming online, partially offset by higher business development and fixed costs due to our accelerated growth plan. At our utilities SBU, we saw higher adjusted PTC driven by lower maintenance expenses, but partially offset by higher interest expense from new debt. We continue to expect strong utilities earnings for the second half of the year driven by typical second half demand seasonality and the pending August decision on ESP 4 at AES, Ohio. With this pending decision and the great progress in renewables growth at AES Indiana, we are continuing to pursue our strategic priority to increase rate base by an average of 10% annually through 2027. Lower adjusted EBITDA at our energy infrastructure SBU, primarily reflects lower margins at AES Andes in line with our phase out of coal, partially offset by higher availability at select thermal units. As we execute -- our third strategic priority to exit coal and complete the transformation of our portfolio, although not every quarter, we generally expect to see annual year-over-year declines in energy infrastructure as we discussed at Investor Day in May. Finally, at our new energy technologies SBU, higher adjusted EBITDA reflects continued improved profit margins at Fluence. Fluence has shown year-over-year improvement for 3 straight quarters, and we are very pleased with the strong results they are delivering this year. Now to Slide 19. We are on track to achieve our full year 2023 adjusted EBITDA guidance range of $2.6 billion to $2.9 billion. Growth in the year to go will be primarily driven by contributions from new businesses including growth at our U.S. utilities and contributions from new renewables projects coming online. As a reminder, the 3.4 gigawatts of new renewables we expect to add this year represents an increase of over 75% compared to the 1.9 gigawatts we added to our portfolio last year. This amount also represents a doubling of new renewables in the U.S. versus 2022. This growth will be offset by approximately $200 million of LNG sales we've recorded primarily in the third quarter last year, which we do not expect to recur this year. In addition to our adjusted EBITDA, we expect to realize $500 million to $560 million of tax attributes in 2023, bringing our total adjusted EBITDA plus tax attributes to $3.1 billion to $3.5 billion for the year. Turning to Slide 20. We are also reaffirming our full year 2023 adjusted EPS guidance range of $1.65 to $1.75. As a reminder, we expect our adjusted EPS to be heavily fourth quarter weighted due to the late year seasonality of our U.S. renewable project commissioning. Now to our 2023 parent capital allocation plan on Slide 21. Sources reflect approximately $2.4 billion of total discretionary cash, including $1 billion of parent free cash flow, $400 million to $600 million of asset sales and a $900 million parent debt issuance we completed in Q2. For more information on our debt issuances at the parent company and our subsidiaries, please refer to the appendix of the presentation. On the right-hand side, you can see our planned use of capital remains largely in line with guidance, with higher parent investment reflecting our recent acquisition of the 2-gigawatt Belfield project in the U.S. At our Investor Day in May, we outlined our capital allocation plan through 2027, including asset sales, along with debt and potential future equity issuances. We appreciate all of the feedback we've received, and I want to take a moment to clarify that we will only raise and invest capital in a way that's value accretive to our shareholders. Any potential future equity issuances would have to yield accretive value to shareholders for us to pursue equity as a source of capital. We are also committed to improving our credit profile over time and further bolstering our investment grade rating. We have a number of other levers to pull to support our growth such as increased capital recycling through asset sales and sell-downs. Given our strong asset sales track record and recent success, it is possible that any future equity issuances could be materially lower than the 5-year figure we previously shared. As always, our Investor Relations team is happy to take additional feedback and to follow up on additional questions or data requests. In summary, we're continuing to make progress on transforming AES' portfolio while delivering strong growth in adjusted EBITDA, earnings and parent free cash flow. Our businesses are executing successfully and delivering on their commitments. We will continue to allocate our capital towards our high-growth renewables and utilities to maximize shareholder value. With that, I'll turn the call back over to Andres.
Andres Gluski: Thank you, Steve. In summary, we're reaffirming our 2023 guidance for all metrics and our targeted annualized growth rates through 2027. We continue to make substantial progress on our strategic priorities, including tripling our installed renewables capacity by 2027, increasing the rate base at our U.S. utilities by more than 10% per year through 2027 and and transforming our portfolio by exiting coal by the end of 2025, while investing in new technologies. We are delivering on all the commitments we made on our Q4 2022 earnings call and at our Investor Day presentation. With that, I would like to open up the call for questions.
Operator: [Operator Instructions] We will take our first question from Durgesh Chopra with Evercore ISI. Durgesh, your line is open. Please proceed.
Durgesh Chopra: Andres, just you're now -- if I heard you correctly in your remarks are targeting 5 to 6 gigawatts of new PPAs first. Can you confirm whether that is accurate because that's higher than what kind of you might have locked down in previous years? And then what's driving that higher range?
Andres Gluski: Sure, Durgesh. Good to talk to you. Look, we signed 5.2 gigawatts of new PPAs last year. So what we're seeing this year is we already have 2.2 signed. We have visibility into just 2 projects, which would be another about 2.4, right? Which would put us 4.4. And of course, we have other projects in the pipeline. So we're not really setting out an official target, but I'm saying that we believe that we should be similar to last year. And we do have a couple of what I call these whales, the 1 gigawatt plus targets, but we feel very good because we see a lot of demand for our products. We have people coming to us with products. So it's really looking at how do we best allocate our money where we get the highest returns and best allocate our teams.
Durgesh Chopra: And then maybe when could we get clarity on the potential 600 megawatts in terms of timing. Is that really sort of a Q3 call event when we would know more. How should we think about that? I'm just thinking about the projects that pushed into 2024, yes.
Andres Gluski: Sure. Look, I would say that we feel very good about our construction program. So -- versus -- this was the big challenge of this year to grow our construction program in the U.S. by 100%. We feel very good about it. Unfortunately, a lot of these are slated to be commissioned towards the latter part of the year. So we should have a good view in -- on the Q3 call of where we stand. And whether we're going to do more of these projects this year. But in general, we're very pleased with the supply chain, with our construction teams. The team has really stepped up to the task, and I'm very proud of them.
Durgesh Chopra: And then just one last one for me. Steve, you mentioned that the equity needs could be materially reduced. It's nice to hear that in your prepared remarks. Maybe just can you give us more color when could we get an update on timing? Where are you thinking just the current equity needs, when in the plan are those scheduled to hit? And just when could we get an update?
Steve Coughlin: Yes. Look, I mean, as I said in my remarks, Durgesh, this is just a function of multiple levers. And we're seeing a lot of great progress on our asset sale program and the $3 billion that we put out at Investor Day was well below the total universe of opportunities. So -- what I wanted to point out is that we're only going to issue equity in the future, and that could be far in the future to the point that it's value accretive to shareholders, and we haven't also tapped other sources that we intend to tap, which is our asset recycling program. So as you saw with where you run, as we've seen, as we've executed on the renewable sell-downs, as we exit further coal assets, we have a lot of upside in that asset sale number. So at this point, it's indefinitely into the future and our share price would need to be substantially higher than where it is today, and it would have to be value accretive to shareholders on a per share basis.
Andres Gluski: Durgesh, I guess another point I'd like to make is that we've been very effective at bringing in partners to fund our projects. So that's obviously another lever that we have. So we laid out what could be a possible path. We were very conservative on the numbers. But if we don't feel that we want to, at some point in the future, issue equity, we can always invite partners into our project. Of course, we're giving them part of the upside as well.
Operator: Our next question comes from David Arcaro from Morgan Stanley. David, your line is open. Please go ahead.
David Arcaro: I was wondering, just what's your latest thinking on just the hydrogen PTC timing in terms of treasury guidance here and what the rules around matching and additionality might be? And kind of just in coordination with that, what are your -- what's your current like project pipeline and discussions with potential partners on that side of the business as it stands currently? .
Andres Gluski: Well, of course, the final rules haven't come out. What I would like to say is that our Felix project -- our project in Texas is -- really would meet the very strictest criteria. So it is additional. It is hourly matched. It is regional. So it has the very lowest carbon footprint technically feasible in the U.S. So I'd like to put that right out there that our project is not dependent in any way about how the rules come out. Now having said that, I do believe that additionality is important. I also believe that we have to move to early matching, in part because we need green hydrogen projects to be tradable goods. So these are the rules in Europe. I also think regionality is important, so we don't add further congestion. So really, what we want is that the new rules come out help us create a market, but they also help lower our total carbon footprint. So we don't want to just be squeezing the balloon, taking off renewable energy from the grid to produce green hydrogen.  And we can get into more specifics there. So I do expect that the rules will come out, we'll incorporate some of these factors. But I want to say that our projects are very solid. We have committed off-takers, which I think is the key because this market for green hydrogen is developing. So to have early-on projects, I think the key is not only have a great project, and it -- with a very low carbon footprint. So you get all of the benefits of the IRA, but to have a committed offtaker.
David Arcaro: And then I was curious if you could speak to the transmission challenges just related to transformation interconnection in the renewable industry. You alluded to it in your commentary, but I was wondering if you could speak to what your kind of current pipeline of maybe transmission positions and also with regard to like early stage development, land positions, things like that. How soon could a transmission constraint potentially impact your business? And how are you positioned now to kind of avoid that in the foreseeable future?
Andres Gluski: Well, look, I think transmission constraints are affecting the market already. So we got out early, and we started getting a filing for interconnections on a big way 3 years ago in key markets like PJM and CAISO. So I think we're in a good position there. I think right now, we have a new industry here. And so I think we have to come to terms with the new definitions. What is pipeline? So for us, pipeline is projects that we already have, either land rights, interconnection rights, real prospects to make a project. And then, of course, there are different phases. Some projects are far more advanced shovel ready and some are more at the beginning of the Q. I think having looked at a lot of say, proposals from other developers, they count pipeline things that are -- we would call prospects. And I think we have to move towards a common definition, I mean, a little bit perhaps like the oil sector, which has possible reserves -- has probable reserves and has proven reserves, right? And I think what's very important is that the -- to get a pipeline, you have to invest and you have to have money. So some of the new changes, for example, on the interconnections will make it a little bit more costly just sort of spurious flood the zone request for interconnections. So maybe Steve can give you some comments on how that is progressing, which would be favorable to us. We don't see any sort of short-run effect of it. But in the long run, it's favorable to us because I think we've been the most, I would say, stringent about what we consider pipeline. And what we're very interested in doing is maximizing the conversion rate. But I do also want to emphasize that if somebody comes to us, a client and ask us to complete on advanced stage development project, that's the best of all worlds because we get to conserve the pipeline. We weren't investing money when it was at the highest risk stage and can bring it online more quickly and satisfy that client.
Steve Coughlin: Yes. And I would just add to that, look, I mean, we're very pleased with the final rules coming out of the third quarter 2023. But although, as Andre said, we've -- this has been our strategy to lead renewables development for many years. So we put ourselves in an advantaged position, I think, many years ago getting into these cues. Nonetheless, it is important for the industry overall for these cues to be move along faster in the process to be more efficient. So having the higher financial thresholds to get into the cues and to stay in the cue, having to demonstrate project maturity in terms of permits, and financing behind them, having cluster studies so that this isn't just a one by one review process. And then having the penalties and the teeth behind the deadlines that have to be met to do the studies is also important. So there's a number of angles at which this issue is being approached through the order. The order is due to be published, I think, very soon and will go into effect 60 days later. I think it's a great thing for the industry. We've already felt great about our position. But of course, over the longer term to have these cues cleaned up and moving faster is very important, and I think we'll further accelerate growth throughout the rest of the decade.
Andres Gluski: And I say, look, we're also taking sort of technological a look at how we can improve transmission for our projects. So this is like using the grid stack to be able to baseload transmission lines, which were really peakers. This means dynamic line rating. This means using our prefab solar, which takes about half the space to be able to put higher loads where we have a good interconnection. And you also noticed that we're putting large battery projects where we have interconnections from our decommissioned coal plants. So we're looking at this problem rather holistically. And again, I think we're in a very good position to take advantage of what's going to be an increasingly congested grid.
Operator: Our next question comes from Richard Sunderland from JPMorgan. Richard, your line is open. Please proceed.
Richard Sunderland: Circling back to the data center commentary from scripts. Curious how much of a near-term change in C&I demand you're seeing from this subsector specifically? And any indications of upside just on that ramp over the next 1 to 2 years relative to what you were seeing maybe 6 months or a year ago?
Andres Gluski: I would say yes. I mean, the -- there's some definitions that they are waiting for in various markets, but about rules of where you can locate data centers. But no, we're definitely seeing increased interest and increasing demand, and we are the largest provider to U.S. data centers. And so I think we can uniquely provide data centers with the same quality of service, for example, in certain markets abroad, be it Mexico, Chile, Brazil, which is another advantage for us. So yes, we are seeing increased demand from that sector.
Richard Sunderland: And then just wanted to parse the kind of backlog pipeline conversation a little bit more finally for the hydrogen. It sounds like the 1.4 gigawatts for Texas could come in this year. Could you just speak a little bit more to your confidence level there for '23 specifically, and what you're focused on there? And then thinking about the balance of the hydrogen opportunities, when could those come in over the next few years?
Andres Gluski: Well, again, I think we're the most advanced in terms of real green hydrogen projects. So in the U.S., we have committed offtakers for that project in Texas. We have several other projects, including two of the hubs, one in Los Angeles also one in Houston. I would say that we could sign the first project this year. It will be -- we're coming online for 2027 outside our guidance range. And the subsequent wins would be somewhat further out, '27, '28. But what we're seeing is strong demand. And basically, we are seen as a preferred partner by several people. And we also have very good projects, for example, in Chile, which is to green the mining sector. They're heavy equipment. We've already green electricity use, and a possible ammonia export project in the Northeast of Brazil. So again, stay tuned, but I feel quite confident in saying we're the most advanced in projects with committed off-takers. And we think we will hit these numbers. It's really a question of as they come online because you have to have the equipment that can use it. Certainly, in the shorter term, you can substitute green hydrogen in thermal processes in a lot of petrochemicals or steel plants, other things like that. So we have to see as this market develops. But again, I think we're very well positioned. It's a very exciting opportunity for us.
Richard Sunderland: And then just one final one for me. The Belfield project, you've been very clear in a lot of the messaging around how that came together. I'm just curious in terms of considerations around Phase 2 versus Phase 1, just Phase 1 your return thresholds on a stand-alone basis. How do you think about the progress to signing Phase 2? Anything you can offer there would be helpful.
Andres Gluski: I think we're well advanced on Phase 2 is what I'm willing to say. It would be a similar project to Phase 1. So that is the largest solar plus storage project in the U.S. in California. So it's a very unique offering that we can bring together.
Operator: Our next question comes from Angie Storozynski with Seaport. Angie, your line is open. Please go ahead.
Angie Storozynski: So I wanted to start with some high-profile management departures we've seen since the Analyst Day, basically from your core businesses, right, the U.S. utilities and U.S. renewables. I mean, you might be just victims of your own success in a sense, but just how you can reassure us that there's no change in the execution of your growth plans, especially in these 2 businesses and the demand that you have to fill those vacancies?
Andres Gluski: Angie, and thanks for that question. And I think you got it spot on. Look, this is, quite frankly, a symptom of strength in our case. We have the hottest management team in the market. And so of course, people are going to be being made offers. And if people are obviously -- if they want to go to private equity and bet on a longer-term IPO, that's their right. But this in no way affects our business whatsoever. And I think the best proof of that is after the departure in clean energy, we've signed more PPIs. So we're doing very well. I don't expect it to have any impact on the business. And I expect the same in U.S. utilities. I don't expect this will have any impact whatsoever. But it is a sign of that, yes, we have a strong team, we have a deep bench, and we'll continue to identify talent and prepare it and move it up. Again, let's say, where AES was in, say, in 2012 or something, our team wasn't the honest in the business, people wouldn't be trying to poach it. So it is what it is, but I feel very good about where we are, and it doesn't change our plans whatsoever. And I think the teams are very motivated on executing on the plans that we laid out.
Angie Storozynski: And then moving on, I mean, you talked a lot about your backlog of renewable power projects. So -- and then potential monetization of assets in the world of equity. So First, on the backlog, I mean, we've heard stories about some public renewable power developers basically showing in their backlog third-party projects where they don't have exclusivity for these projects. So again, this is just anecdotal evidence, but I'm just wondering if you've heard of those instances and if any of this could be true for you guys?
Andres Gluski: Well, I can say categorically, absolutely, under no uncertain terms, we have no such projects in our backlog. I want to make very clear because maybe some other people are doing that. I think that's not transparent. I would not recommend anybody to do it. In our case, whatever we have in the backlog, we are -- we have the project, we are committed to delivering it on a certain date for a certain amount of time, and our clients have an obligation to take that energy -- a certain amount of energy for a certain amount of time. So this is binding for both sides. And the fact that 43% of our backlog is currently being built, we have ordered all the equipment for our '23 through '25 backlog, and about 3 quarters of them will come online by 2025. So I want to make very clear that's a good question. I wouldn't recommend anybody to do that. And I can say, categorically, we would never do something like that.
Angie Storozynski: And then on the monetization of assets. So I understand that there is a very big difference between the assets that recently transacted and the ones that you are developing, it's only because of the duration of the PPAs, so basically the duration of the cash flows. But on the flip side, right, you have higher discount rates for the DCF value of those cash flows. So I'm just thinking if you were to monetize some of these assets, again, I guess it all depends where the stock is. But again, how would that, from your perspective, demonstrate the value of the portfolio that you currently have?
Steve Coughlin: Yes, Angie, this is Steve. So look, we have, as you know, have been selling down our renewable projects after they've come online and we package them together in portfolio. So we have seen some, I would say, relatively small uptick in return requirements there, but nothing outside the range of what we expected within our plan in terms of -- this is -- these are very low-risk assets. They're solar coupon, essentially, no fuel costs, very low maintenance. So these are very predictable, and the demand for these assets continues to be very strong. So we don't see any impact to the plan for how we sell down from sort of where rates are in the market today. Does that address your question?
Andres Gluski: I think -- I mean the other thing is that these are -- all investment-grade quality offtake or the very highest quality off-takers that you can have. So we are selling down the premium product in the market. So I think it's important to say that, look, people have talked about inflation, people have talked about writing interest rates, we're not seeing a degradation of our margins. So the margin of our money into these projects, we're not seeing any squeeze whatsoever.
Steve Coughlin: Yes. And on top of that in site -- so just as Andreas pointed out, with the new project, we have the energy community adder for that project. And actually, most -- all of our wind projects going forward, we expect to qualify for the domestic adder as well, Angie, so there's some significant offsets to the cost of financing that we've been achieving too.
Operator: Our next question comes from Julien Dumoulin-Smith with Bank of America. Julien, your line is open. Please go ahead.
Julien Dumoulin-Smith: I know a lot has been said here already, but let me follow up on some details here, just on the year-over-year comparisons here as we go to the back half of the year, if I may. Look, I'd love to talk about -- I think you have in your slides here, $0.24 of positive net impact in the back half of the year from renewables and year-over-year comps on LNG if I rewind here, I think you said in the back half of the year that -- I mean, last year, it was like $0.30 contribution from LNG. Just as I think about that, that seems like a pretty big step-up year-over-year renewables. Can you talk about what renewables assumptions you're baking in as sort of a discrete item in -- especially in the back half of the year to sort of make up for what you need to get to your guidance? And then if I think about the start of the year, right, in terms of what you talked about renewable contributing, I think we talked about $0.27 for the full year. So -- it seems like what's implied here again, I'm curious that renewable is actually contributing more than what we thought at the start of the year and maybe what that says for future years as well. But please, by all means, respond accordingly.
Steve Coughlin: So yes, this is Steve, Julien. So the $0.30 it doesn't -- sound correct or actually more like $0.20 is the LNG year-over-year delta to be offset. And then, of course, we're more than doubling the renewable commissioning this year. So if you recall, it was just around 1 gigawatt last year, and it's 2.1 gigawatts this year, most all of which is in the second half of the year. So what we're carrying in the first half is sort of more of the cost in renewables. The EBITDA has been relatively flat through the first half. In the second half, then we're going to see that renewable number pick up substantially, and that's why we have the 75% loading on the second half of the year earnings. That's a major driver. The other is, of course, utility demand in Ohio and Indiana peaking in Q3. You've got Southland, where we have the peak cooling season in the third quarter. And then we have hydro in Latin America, typically, the volumes are much higher as we come out of the wet season in the summer and the winter and you have the snow melt into the fall. So those are really the primary drivers is the clean energy Southland, the utilities and then some of the hydro assets in Latin America having much more volume in the second half of the year. But the LNG offset is really only about $0.20 for the -- and mostly in the third quarter.
Julien Dumoulin-Smith: Is there a use on that -- sorry, go forward.
Andres Gluski: I was just say we're executing exactly what we laid out at the beginning of the year. So there's been no change. I want to make that clear.
Steve Coughlin: Yes. Yes, this is -- I think we're right at 25% on the EPS, Julian, year-to-date. So this is -- what we're seeing, although the year-over-year in the quarter is lower, that's primarily due to coal retirements in Chile as we've done the green blended extend, some of the coal that's still there, the margins have come down, which was all expected. So we're exactly on track. And also, to your point, there is some potential upside, as Andres noted, we feel really good about being on track with the construction program and there still remains the upside on the 600 megawatts potential.
Julien Dumoulin-Smith: But the point is the plan for $0.27 of renewables contribution in '23 unchanged from the start of the year still.
Steve Coughlin: Yes. Let us get back to you on the exact number because I don't have that math in front of me, but the renewables contribution is looking at least on track, is what I would say.
Julien Dumoulin-Smith: If I can give a slight different direction here, trying to follow up on a few earlier questions. Just on the asset sale dynamics versus equity, can you comment a little bit further about what else you're seeing out there? Or what else could be monetized just as you think about deemphasizing equity. It sounds like the principal lever Andres, you were alluding to is that you would just sell down your interest in the new renewables even more so. Is that fair to say in terms of like the alternative lever here versus the corporate level equity? And also just to clarify the point you made earlier on just very precisely, at these levels today, you would definitively move away from the equity levels that you -- equity-ish levels you defined earlier. -- in lieu of these alternatives?
Andres Gluski: So on the first point, no, it's not fair. Characterization is not fair. So what -- look, all right, we have partnerships in all of our businesses. So we don't necessarily have to do it on the new projects. So we can bring in partners to -- money is fungible. So if we monetize a different business, that means we have more money available for renewables. We will -- as we have in the past, we can choose to optimize the return on invested capital. And I think that we're doing a very good job of how we exit coal. I think the Warrior Run monetization, I think is probably better than people's expectations. And so we continue to manage that. So all I'm saying is that -- we never -- as Steve said in his script, we didn't -- we put this out as a 5-year plan. And in the 5-year plan, we had a certain amount of asset sales, a conservative number, and we had a sort of range for potential equity issuance as well. So the 2 somewhat offset each other. So if we do better on the asset sales, we will need less equity and we do better in terms of bringing in partnerships. So what we're saying at these levels, we do not feel comfortable issuing equity. But I think it's been very clear from our presentation that we have tremendous demand for what we're doing. And that is a once-in-a-lifetime market opportunity. So we want to create the most value for our shareholders from that opportunity. So obviously, if we don't have -- what we feel is correctly valued equity, we'll have to use other levers. And this should be nothing new to you guys. We have financed a remarkable change in this company without issuing equity. We did it by selling down assets. We got into wind by bringing in partners. So what we're saying is nothing like a promise for the future. It's just more of the same. So we will use whatever the levers creates the most value for our shareholders, and we will continue to do so.
Julien Dumoulin-Smith: So your point ultimately is not committing to selling down partners per se, a variety of different sources here incrementally just not issuing the equity at current levels. And if I can also clarify this process underway. I know that it was listed in the queue here as well. Is that still status quo in a way?
Steve Coughlin: No, there's no -- there's no specific Maritza process underway, Julien, at this point. So still evaluating different pathways for Maritza.
Operator: Our next question comes from Ryan Levine from Citi. Ryan, your line is now open. Please go ahead.
Ryan Levine: A couple of specific follow-on questions. Is your Fluence take core to your portfolio? And I guess secondly, on the financing side, are you still open to considering the convert market to help offset equity issuance?
Steve Coughlin: So this is Steve. So yes, Fluence is part of the portfolio we own roughly 1/3, 34% of Fluence. It is not consolidated, but it does come in through equity method. And we do, in our adjusted EBITDA definition include an adjustment to include Fluence EBITDA. So that does show up and it's in our new energy technologies SBU influence margin...
Ryan Levine: The question is that core, is that core?
Steve Coughlin: Is it core? Or did you say -- is it core to our business?
Ryan Levine: Core.
Steve Coughlin: So look, I mean, I would say -- so given that it's an outside business, I don't think I would parse this out as like core or noncore. It's been a really important strategy for us to be able to lead in energy storage, both in development as well as in the technology as well as sort of advancing the way that storage gets used to create the innovative solutions we've done like 24/7 carbon-free energy to make those products work. We've done a lot of co-innovation, co-development with Fluence around that. So that's, I would say, definitely core to our strategy is what we've been able to do with storage. But as Andres said many times, these are technology businesses of their own right. They're separated. We are not in them indefinitely, and we continue to grow new opportunities. And as we do we may look to monetize part of our positions down the road. No time soon, and we see a lot of value upside. We're very pleased with how the new management team has driven value already that's been recognized, but we still see a lot of upside and there's a lot of partnership that we continue to work on new solutions around. So it is core from that perspective that I laid out.
Ryan Levine: Okay. And then on the convert option?
Steve Coughlin: So no, nothing that we're contemplating at this point. I mean, look, we did a $900 million debt deal just in the second quarter. Nothing -- no specific convert for us contemplated at this point.
Ryan Levine: And then last question. In terms of Puerto Rico, what's your strategy there from existing assets and future development perspective?
Andres Gluski: Well, in Puerto Rico, we're greening the island's energy grid. So we do have renewal projects we're bringing in batteries as well. And it's our plan to phase out coal by 2025. So we're assisting the island and its energy transition. And I think we've been very clear what our objectives are.
Operator: Our final question comes from Gregg Orrill from UBS. Gregg, your line is now open. Please go ahead.
Gregg Orrill: Yes. Probably quick. On AES Ohio, is the DPO rate case, how does that timing compare with what you were assuming in guidance or any other differences with how that's proceeding versus the '23 guidance?
Steve Coughlin: Yes. Gregg, it's right on track with what we assumed in our guidance. So the decision has been put on the agenda for next week, August 9, that was just published, I believe, yesterday.  So right on track in terms of when we assume the decision to be made. And we still feel really good about where that is likely to come out. As a reminder, once the decision is made, is to put in place, then the new rates that were decided upon last year immediately go into effect. And as we've laid out, the riders would go into effect and then the frequent quarterly recovery on our distribution investments going forward, would start to be put in place. And so this is a business really pivoting to a very different phase from where we've been delevering and setting that business up for a more normalized structure. This is an important pivot point for Ohio to really pivot to growth, and there's a lot of room for growth as there's the lowest rates in the state there in all customer classes. And even with the ESP 4, the new rates, we expect it to continue to be the lowest rates in the state for the foreseeable future. And we have, as Andres noted, 10%-plus rate base growth expected going forward. So we're very excited about this and look forward to the decision next week.
Andres Gluski: Yes. And I'm also very excited about that Dayton is finally getting incoming investment. So you have a new Honda EV plant to have a battery plant coming into our service area. So you're starting to see an economic recovery. Dayton had sort of been not participating in the expansion that we had seen in Eastern Ohio. So it's a very exciting time, and we're very happy that we could invest and continue to improve the quality of service and continue to attract new investments into the Dayton area. So it's not only a rate base story, I think there's an economic recovery story happening in Dayton for the first time in decades. So it's a very exciting time to be in Dayton.
Operator: I will now hand back to Susan Harcourt for any closing remarks.
Susan Harcourt: We thank everybody for joining us on today's call. As always, the IR team will be available to answer any follow-up questions you may have. Thank you, and have a nice day.
Operator: This concludes today's conference for everybody. Thank you very much for joining. You may now disconnect your lines. Have a great rest of your day.